Operator: Greetings, ladies and gentlemen, and welcome to the National CineMedia First Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Mr. David Oddo. Thank you, sir. You may begin.
David J. Oddo - SVP Finance, Co-Interim CFO and Principal Financial Officer: Good afternoon. I'd like to remind our listeners that this conference call contains forward-looking statements within the meaning of Section 27-A of the Securities Act of 1933, as amended, and Section 21-E of the Securities Exchange Act of 1934, as amended. All statements other than the statements of historical facts communicated during this conference call may constitute forward-looking statements. These forward-looking statements involve risks and uncertainties. Important factors that can cause actual results to differ materially from the company's expectations are disclosed in the risk factors contained in the company's filings with the SEC. All forward-looking statements are expressly qualified in their entirety by such factors. Further, our discussion today includes some non-GAAP measures. In accordance with Regulation G, we have reconciled these amounts back to the closest GAAP-basis measurement. These reconciliations can be found at the end of today's earnings release, which may be found on the Investor page of our website at www.ncm.com. Now, I'll turn the call over to Kurt Hall, CEO of National CineMedia.
Kurt C. Hall - Chairman, President & Chief Executive Officer: Thanks, David. Good afternoon, everyone. Welcome and thanks for joining us for our 2015 Q1 earnings conference call. During this call, I'll provide you with a brief overview of our Q1 actual performance and color concerning market trends, progress against our business plan and our future guidance. David will then provide a more detailed discussion about our Q1 results and provide some more details regarding our guidance for Q2 and full year 2015. And then as always, we'll open the line for questions. After solid growth in Q4 2014, the momentum continued into 2015 with record Q1 non-beverage advertising revenue. Total Q1 revenue growth of 10% versus Q1 2014 was driven by a 19% increase in national advertising revenue and a 2% increase in local advertising revenue, partially offset by a decrease in beverage revenue. Q1 adjusted OIBDA growth of 23% finished at the upper end of our guidance range due to some late breaking scatter deals as well as tight cost controls. The growth of our high margin advertising revenue and cost controls drove the 380 basis point increase in Q1 adjusted OIBDA margin versus Q1 2014. The 19% increase in Q1 national revenue reflected last year's successful national upfront campaign that meaningfully increased our Q1 inventory utilization to 100% based on our standard load of 11 30-second national ad units, another Q1 record for our company. This higher Q1 inventory utilization was primarily driven by multi-flight packaging that is an important part of our overall upfront strategy. This packaging tactic combined with a few higher price deals included in Q1 2014 contributed to our 11% Q1 CPM decline versus Q1 2014. While this strategy resulted in lower Q1 CPMs, it was more than offset by higher utilization during this historically softer demand period. In addition, annual upfront commitments that included lower priced Q1 inventory were generally packaged with higher priced inventory that will run later in the year. These future quarters will also benefit from the implementation of some new technology that will allow us to execute a more dynamic scatter pricing strategy that adjust week-to-week pricing expectations based on market demand and inventory utilization levels. This combined with higher upfront commitment levels and good scatter demand is expected to result in a year-over-year CPM increase in the higher demand periods throughout the rest of the year, including Q2, where we are currently expecting a CPM increase of approximately 10% versus Q2 2014. These higher Q2 CPMs are expect to result in a low single-digit CPM increase for the first six months of 2015 versus the same period in 2014. Our upfront strategy and recent strong scatter demand has also helped us continue to expand our client base. So far this year, we've added 20 new national clients from 11 different industries, with 10 of these new clients spending during the first quarter. This is slightly ahead of the 2014 pace when we had added 18 of the total 48 new clients that were added for the entire year. The new national client additions so far this year include businesses in the apparel store, apparel and footwear accessories, auto parts and service, health and fitness, internet, liquor, personal care products, prepared foods, restaurants, spa and salons, and video game categories. Our local advertising business posted record Q1 revenue for the third year in a row as our Q1 local revenue grew approximately 2% on top of the previous two years that grew 36% in 2014 versus Q1 2013 and 22% in Q1 2013 versus Q1 2012. The Q1 2015 growth was driven by an increase in revenue from larger multi-theater deals between $10,000 and $250,000, partially offset by a decrease in the number of smaller local contracts below $10,000. The decrease in the volume of smaller local contracts appear to reflect a less favorable fiscal calendar or by the highly attended holiday week between Christmas and New Year's day fell in the fourth quarter of 2014 instead of the first quarter as it did in 2014. We also had more open local sales positions due to our planned integration of the Screenvision business. We have made very good progress filling these open positions within our nearly 200 person local and regional sales staff and we are now back to approximately 10 unfilled positions that is consistent with historic levels. While there will be some lag in productivity from these new local sales people as they're trained and build their client base, we are currently expecting our Q2 local revenues to increase mid-single to low double-digits versus Q2, 2014 as we continue to benefit from a stable economy, the expansion of our network, and better geographic coverage within DMAs that helps our regional business compete more effectively with local TV affiliates, newspapers, radio and billboards. Consistent with the growth of online and mobile advertising platforms, we're also projecting strong online and mobile revenue growth for the first six months of 2015 versus the same period in 2014. While this component of our business remains a relatively small part of our total national revenue, our strategy of packaging our national and local in-theater inventory with our online and mobile inventory is important as it provides marketers with a unique way to connect with valuable movie going audience before, during and after the movies. The ongoing expansion and improvement of our national cinema network continue to improve our competitive positioning across all of our ad businesses and helped us provide more advertising revenue to our theater partners. We had approximately 20,100 screens in our network at the end of the first quarter of 2015. This increase of over 200 screens versus the end of Q1 2014 relates to the addition of several high quality regional circuits and new net theater additions by our founding member of circuits and existing affiliates. While we currently have network coverage in the 183 of the 210 TV DMAs, we will continue to aggressively expand our network to new markets and improve our coverage in existing markets in order to improve our overall value proposition to businesses that require greater national reach and more ubiquitous market coverage. As previously announced, the Cinetopia theater circuit has been connected to our network this year during early Q2 and Santikos Theaters will join our network in Q1 2016. These future additions will add over 8 million annual theater patrons and strengthen our market coverage in several larger markets including San Antonio, Houston, Kansas City and Portland, Oregon. All of our affiliate circuit partners are benefiting from being part of our larger network. During 2014, our local affiliate adverting revenue per affiliate screen was approximately $12,900 and with our strong advertising revenue growth projected in 2015, our total affiliate advertising revenue per screen should increase even further. In fact, total payments to our affiliate circuits in Q1 2015 were up 17% versus Q1 2014. This projected growth in affiliate payments and the high quality entertainment experience we deliver to theater patrons through our FirstLook pre-show provides significant advantages to smaller regional circuits. So I am confident that we will continue to add new circuits to our network. We also continue to improve the quality of our network distribution and projection technology to provide a better value proposition for advertisers. 100% of our network screens now utilize digital projectors with approximately 84% of our screens featuring the higher quality digital cinema projectors and over 96% of our network attendants now receive our FirstLook pre-show over our digital distribution network. This broader connection to our digital distribution network allows us to shorten campaign lead times and begin to better target specific theater audiences, beyond movie ratings and age and gender demographic groupings. This type of expanded audience targeting capability is becoming an increasingly important factor to media buyers and thus we have recently accelerated the upgrade of our inventory management systems and are developing more robust consumer analytics databases that will be used to target theater audiences more effectively than we have in the past. This approximately $3 million shift in capital expenditures into 2015 from future years will allow us to begin to provide more targeted campaigns to certain of our more significant clients this year and will include all of our on-screen inventory in early 2016 approximately a year earlier than we had originally planned. Looking ahead to the rest of the year, our strong Q2 revenue and adjusted OIBDA guidance reflects Q2 inventory sell through that is approaching sell-out levels and scatter CPMs that are meaningfully higher than our Q2 upfront CPMs. Despite the strong Q2, we're now changing our full year revenue and adjusted OIBDA guidance ranges, but now we're not – sorry, changing our full year revenue and adjusted OIBDA guidance ranges but now expect that we will be in the upper end of those annual guidance ranges. While our current second half national advertising commitments are nearly 100% ahead of the last six months of 2014 at the same time, there is still approximately 30% of our second half total national advertising revenue budget still left to book. Q4 results will also depend on the success of our 2015-2016 upfront campaign that is in process leading up to our upfront presentation in New York in a couple of days. Our preliminary upfront meetings have been going very well and we will begin to get a better feel for Q4 2015 and 2016 as the upfront commitment process progresses throughout the summer. Given the impact on the TV business of the DVR and programming fragmentation, during upfront meetings, we're seeing a higher level of openness from media buyers to consider our network as their focus has shifted to live and event-related programming. Brands also appear to be examining more closely the effectiveness of online and mobile platforms given the increasing level of fraud and issues relating to ad viewability. Given all these favorable market trends, our combination of broad national reach, reliable and high impact viewable impressions and engaged audience and adjacency to high quality event programming positions us very well for the future. This is all I had. So, I'll now turn the call over to David to give you some more details concerning our Q1 results and Q2 and annual guidance.
David J. Oddo - SVP Finance, Co-Interim CFO and Principal Financial Officer: Thanks, Kurt. For the first quarter, our total revenue increased 9.5% versus Q1 2014 driven by a 19.2% increase in national advertising revenue excluding beverage and a 1.7% increase in local advertising revenue partially offset by 19.1% or $1.8 million decrease in beverage revenue. Total Q1 adjusted OIBDA increased 22.6% and adjusted OIBDA margin increased to 36% from 32.2%, reflecting the increase in high margin national advertising revenue that was partially offset by the decrease in 100% margin beverage revenue. We also recorded $300,000 of AMC Rave and Cinemark Rave integration payments for the first quarter versus $200,000 in Q1 2014. You should note that these integration payments are added to adjusted OIBDA for debt compliance purposes but are not included on our reported revenue and adjusted OIBDA as they are recorded as a reduction to net intangible assets on our balance sheet. We continue to expect to record approximately $2.5 million of these integration payments from the founding members during 2015. Our Q1, 2015 advertising revenue mix shifted due to the higher national growth and was 66% national, 24% local and 10% beverage versus Q1 2014 that was 61%, 26% and 13% respectively. The Q1 national ad revenue excluding beverage that increased 19.2% versus Q1 2014 was driven by a 38.2% increase in impressions delivered partially offset by a decrease in CPMs of 11.1% versus Q1 2014. The increase in impressions delivered was driven by an increase in inventory utilization to 99.9% from 72.6% in Q1 2014 due to an overall expansion of our client base related in part to the success of our strategy to compete in the national television upfront marketplace since 2012. This increase in inventory utilization was partially offset by a 3.1% decrease in our network attendance that was impacted by our fiscal calendar whereby the highly attended holiday week between Christmas and New Year's Day fell in the fourth quarter of 2014 rather than the first quarter as it did in the prior fiscal year. As Kurt mentioned, the decrease in CPMs was due primarily to the success of our upfront packaging tactics that helped increase utilization during the historically lower demand first quarter. Our quarter end make-good balance decreased to $1.5 million from $2 million at the end of 2014 due to the unexpected strength of several first quarter films. Our Q1 local advertising revenue increased 1.7% driven by a 5.7% increase in average contract value partially offset by a 5.1% decrease in total contract volume versus Q1 2014. The increase in average contract value is driven by a 7.8% increase in the average value of contracts between $10,000 and $250,000 offset by decrease in contract over $250,000. While the decrease in contract volume was driven by a 7% decrease in the number of contracts under $10,000. Q1 beverage revenue decreased 19.1% versus Q1 2014 driven by the 14.4% decrease in beverage CPMs that is tied to our decrease in 2014 national segment one CMPs and the 3.1% decrease in founding member attendance that related primarily to the unfavorable fiscal calendar discussed previously. Looking briefly at diluted earnings per share, for the first quarter, we reported a GAAP diluted EPS loss of $0.15 versus the loss of $0.05 in Q1, 2014. Excluding $33.4 million in pre-tax legal cost and termination fees associated with the termination of the Screenvision merger agreement during Q1, 2015 and non-cash charges related to terminated interest rate swaps in both Q1, 2015 and Q1, 2014 first quarter diluted EPS would have been $0.01 versus a loss of $0.04 in Q1, 2014. Our capital expenditures were $2.1 million for the first quarter compared to $2.2 million for Q1, 2014 or approximately 3% of total revenue for both periods. As discussed, we're accelerating the development of our inventory management system and audience targeting to more effectively compete in the video advertising marketplace and thus we now estimate that our full year 2015 capital expenditures will be in the $13 million to $15 million range, remaining at just 3% of the midpoint of our revenue guidance range for the full year. Before moving on our balance sheet, I'd like to take a minute and discuss the impact of the merger-related expenses including the $26.8 million termination payment on our debt levels and dividend cushion. All merger-related expenses were funded by NCM LLC during the first quarter of 2015 either directly or through a payment to NCM, Inc. to reimburse it for cost paid during 2014. The payment of all of these costs resulted in a negative available cash distribution calculation for Q1, 2015 of $25.5 million. Under the terms of the NCM LLC operating agreement, this negative Q1 2015 available cash will be funded by the three theater circuits in NCM, Inc. based on their pro rata ownership in NCM LLC through reduction in the available cash distribution calculation in the second quarter of 2016 which will be paid in the third quarter of 2016. Until such time the negative available cash amount will be funded by the NCM LLC revolving credit facility. As we discussed on our last call, the cash impact of the merger-related cost to NCM Inc. after the reduction in NCM LLC distribution in Q3 2016 will only be $11 million net of tax benefits. Thus the merger-related cost will have minimal impact versus historical levels of approximately four quarters based on current dividend levels and no additional distributions from NCM LLC. Moving to our balance sheet, our total debt outstanding at NCM LLC as of April 2, 2015 was $938 million versus $892 million at the end of 2014. This increase was due to a $46 million increase in our revolver borrowings that was almost entirely driven by the payment of the Screenvision termination fee and merger-related cost by NCM LLC. Our revolver balances will decrease by $25.5 million when the merger related expenses are netted against available cash distributions in the third quarter of 2016. Our average interest rate on all debt was approximately 5.3% at the end of Q1 including our $270 million floating rate term loan bank debt and revolver credit facility that had a rate of approximately 2.4%. Excluding revolver balances 69% of our total debt outstanding at the end of Q1 2015 had a fixed interest rate. Our consolidated cash and investment balances as of April 2, 2015 decreased by $1 million to $78 million from the end of Q1 2014 with $75 million of this balance at NCM, Inc. Excluding tax reserves and after the payment of the recently announced $0.22 per share dividend to be paid on June 9, 2015, we would be able to pay our current dividend per share for over four additional quarters even if no cash were distributed up to NCM, Inc. from NCM LLC. Our annual dividend yield is currently 5.9% based on today's closing share price of $14.90. Our pro forma net senior secured leverage at NCM LLC as of the end of Q1 was approximately 3.6 times trailing four-quarter adjusted EBITDA (sic) [OIBDA] (20:31), which is well below our senior secured leverage maintenance covenant of 6.5 times. You should also note that while we have no NCM LLC total leverage or NCM, Inc. consolidated maintenance covenant, our total leverage at NCM LLC net of NCM LLC cash balances was approximately 4.6 times at the end of Q1 2015, and our consolidated leverage net of NCM, Inc. and NCM LLC cash balances was 4.2 times at the end of Q1 2015. Our leverage has increased by approximately 0.2 times due to the funding of the merger-related expenses previously discussed until the third quarter of 2016 when the revolver balances will be repaid through the $25.5 million reduction in distributions to NCM LLC's members. Turning to guidance, for the second quarter, we expect total revenue to be in the range of $116 million to $122 million and adjusted OIBDA to be in the range of $61 million to $67 million. This implies an adjusted OIBDA increase of approximately 17% to 29% versus Q2 2014. The increases are due to growth in both our national and local advertising businesses. National revenue is expected to increase 23% to 29%, driven by significantly higher utilization and a projected CPM increase of approximately 10% versus Q2 2014. While our local and regional advertising revenue is expected to increase 4% to 11% versus Q2 2014 due to the continued expansion of our network and favorable film slate. These Q2 increases are expected to be partially offset by an approximate 9% decrease in beverage revenue. Full year 2015 national upfront bookings remained strong with 85% of our national advertising budget currently booked versus 61% of actual full year 2014 national advertising revenue at the same time last year. Focusing on Q3 and Q4, approximately 70% of our second half 2015 national advertising budget is currently booked versus approximately 38% of our second half 2014 national advertising actual results at the same time last year. While we're encouraged by these upfront driven booking increases, recent strong Q2 scatter demand and positive feedback from our early upfront discussions with agencies and clients, we're remaining cautious as it's still early in the year and we have approximately 30% of our second half 2015 national advertising budget left to book. As such, we currently expect full year 2015 results to be in the upper end of the $422 million to $432 million revenue and $210 million to $220 million adjusted EBITDA (sic) [OIBDA] (23:18) annual guidance ranges previously provided. Finally, I'd like to remind everyone that in 2015, approximately half of our content segments have been reduced to 2 minutes from 2.5 minutes. This change has allowed us to increase our salable inventory and revenue potential in half of our network by adding up to two 30-second national or regional ad units and one 30-second local ad unit. This change results in a utilization potential that has increased from 127% in 2014 to 136% in 2015. That concludes our prepared remarks. And we'll now open up the lines for your questions.
Operator: Thank you. Our first question comes from the line of Townsend Buckles with JPMorgan. Please proceed with your question.
Townsend Buckles - JPMorgan Securities LLC: Thanks. Kurt, it sounds like the business is tracking very well. Can you talk about how you're seeing scatter pacing? Has it been a pretty steady progression of strength end of the year or any variability or lumpiness in demand as you look to book the rest of the summer box office season?
Kurt C. Hall - Chairman, President & Chief Executive Officer: Well, the one trend that we continue to see and we mentioned this I think on previous calls is that scatter seems to be breaking quite a bit later than it did historically. And I can tell you that the guidance you've seen us gave in Q2 a lot of that money came in in the last three to four weeks and so we're clearly seeing this continuing trend of late-breaking scatter. I don't know if it's being driven by the greater influence of the digital stuff, the online and mobile stuff as that can generally be booked later, but clearly something is going on there.
Townsend Buckles - JPMorgan Securities LLC: And can you give any color on how you're seeing Screenvision compete in the marketplace since you parted ways? And with the upfronts underway, any difference in how they're positioning themselves? Things obviously got very competitive a year or two ago, but your revenue and CPM guidance is clearly quite strong here. So do you feel like cinema overall is doing quite well or do you feel like there's some market share shifts going on?
Kurt C. Hall - Chairman, President & Chief Executive Officer: I think clearly there were some market share shifting going on, but I think there is very strong demand for us right now as you can see from our numbers. So I'd like to think that buyers are just looking at cinema a little more seriously than they have in the past.
Townsend Buckles - JPMorgan Securities LLC: All right, great. Thank you.
Kurt C. Hall - Chairman, President & Chief Executive Officer: Yeah. Welcome back.
Operator: Thank you. Our next question comes from the line of Barton Crockett with FBR Capital Markets. Please proceed with your question.
Bart E. Crockett - FBR Capital Markets & Co.: Okay, great. I wanted to probe a little bit more on the drivers of the revenue growth, which is tremendous this year, and really thinking about the sustainability of this as we get past this year into next year. If you were to rank order what's really kind of the most important factors, how would you rank excitement about the movie slate among advertisers versus wanting to get behind the winter, what seems like the winter for a while in the Screenvision NCM merger saga, versus just a sea change in sentiment towards theater advertising?
Kurt C. Hall - Chairman, President & Chief Executive Officer: Well, I think – let me just go about it a different way because the answer to your first choice, the film schedule, I think it's clearly a more important factor for our local business than our national. I don't think the national marketers generally schedule their product releases or other marketing plans around film schedules per se. In the local business, clearly the local advertisers pay a lot more attention to the film mix because people are generally in their seats earlier when their blockbuster is playing and because the local and regional ads play further from the advertised show time, that is a good thing for those advertisers who generally pay us on a screen per week basis. So it's a little different answer depending on what medium you are talking about. I obviously don't know to what extent any of the Screenvision merger potential affected people's buying behavior, people don't generally tell you those type of things. So I'll leave that for other people to speculate about. The one thing that is very clear out there and you saw it I think last year in the movement of upfront money to us in September and October that there is a shift going on in the marketplace with regard to the allocation of video budgets. Clearly, the online and mobile networks are benefiting from that and it appears as though we're benefiting from that as well. And so, I think the prospects of our network I think are quite good right now given some of the dynamics going on in the marketplace that is being caused by programming fragmentation, over-the-top adoption, DVR adoption. And as I mentioned in my comments, I'd also think that marketers are for the first time in really the history of this digital – video digital revolution, if you will, the first time that marketers are really taking a hard look at fraud and viewability and some of the shortcomings of digital. And I think up until now there has been a rush of money into that medium that is now I think such a big number that people are starting to ask the question more often, does it work and are my ads actually being viewed and so on.
Bart E. Crockett - FBR Capital Markets & Co.: Okay. And just also to be clear competitively, I mean, I think Screenvision was disrupt a little bit in the sales force as well as you, are you seeing that they're back out there selling like they were before as engaged or are they still in a place where they are struggling to kind get back in gear?
Kurt C. Hall - Chairman, President & Chief Executive Officer: The only point of reference I have is that Screenvision had their upfront last week and a lot of the messaging in their upfront was more about the film release schedule and all the positive attributes of cinema generally. So all I can take away from that is that they're selling the value of the cinema platform, which I think is a really good way to go.
Bart E. Crockett - FBR Capital Markets & Co.: Okay, great. I'll leave it there. Thank you.
Kurt C. Hall - Chairman, President & Chief Executive Officer: You're welcome.
Operator: Thank you. Our next question comes from the line of James Marsh with Piper Jaffray. Please proceed with your question.
James M. Marsh - Piper Jaffray & Co (Broker): Great, thanks very much. Just two quick questions. The first, I was just hoping if you could give us an update on what's going on with beverage these days and just what the outlook is for that category? And then secondly, I think Kurt you mentioned liquor advertising, I don't recall that really mentioned before. I was just wondering what kind of restrictions you're outstanding on the type of advertising? I know in the past television, it was a little bit problematic, but maybe you could just update us on what, if any, restrictions are available there?
Kurt C. Hall - Chairman, President & Chief Executive Officer: Sure. We generally try to follow what is followed on TV. There are no actual laws, but there is a rule of thumb that networks try to follow where at least 70% or more of the audience will be of drinking age of 21 or greater. So we try to follow some of the same rules and it generally means that we're going to only play liquor ads against R-rated films. We've gotten a little more specific, we've taken horror and other R-rated films that generally attract a younger sort of late teen, early 20s audience. We usually take those out of the mix because we know they have a very high SKU of people that are not of drinking age. And on occasion, we will add in PG-13 or PG films that are of a much more higher age target. But again, the goal is to try to comply with the 70% or more guidelines that the television marketplace uses. And first question was on beverage, as you know, the beverage revenue is completely contractual with our founding members. The decrease this year that you're seeing I think we said was coming in our last call was almost 100% based on the fact that our CPMs or our best inventory, primarily segment one inventory, went down last year. I think the number was around 14-or-so percent. So we're hopeful that this year with the stabilization of our CPMs, albeit at a lower level, that we see that revenue also stabilize.
James M. Marsh - Piper Jaffray & Co (Broker): Okay. All right, helpful. Thank you, guys.
Kurt C. Hall - Chairman, President & Chief Executive Officer: You're welcome.
Operator: Thank you. Our next question comes from the line of Eric Handler with MKM Partners. Please proceed with your question.
Eric O. Handler - MKM Partners LLC: Yes. Thanks for taking my question. Kurt, wondering if you could talk a little bit about, with this year's upfront, last year you had a very nice deal $50 million deal with Omnicom. So going directly with the buying agencies, is that going to be a bigger focus for this year? And how do you sort of balance going directly with the advertiser versus the buying groups and how does that play out in terms of the upfront? And then secondly, I wondered if you're seeing as the upfront sort of fully heat up right now, are you seeing any positives being taken by advertisers as they try to figure out what CPMs are going to be asked for from the broadcast and cable networks.
Kurt C. Hall - Chairman, President & Chief Executive Officer: Yeah. I'll answer the second one, it's easy, because the activity we've seen over the last four weeks, as I mentioned, has been pretty robust. And so, we clearly haven't seen, as it relates to us, any impact of any positioning that maybe going on in the TV marketplace, the upfront marketplace. So I can't really tell, Eric, if there is any impact on what's going on there. All the evidence that we seem to see right now is that there's a pretty favorable deal of our network. What was the first question?
Eric O. Handler - MKM Partners LLC: Talking about a strategy of going – Omnicom was a big $50 million deal?
Kurt C. Hall - Chairman, President & Chief Executive Officer: Look, at the end of the day, it's kind of up to the client on how they want to handle that. We obviously are approaching both agencies and individual clients during the upfront process. If clients and agencies agree that that client is going to be part of a bigger deal that the agency may do with us then that's obviously what will happen. So we're going down parallel paths during this upfront process and dealing with both clients and agencies. And as you pointed out, we were able to get one agency onboard last year. We hope that we'll be able to get on more onboard this year.
Eric O. Handler - MKM Partners LLC: Great. Thank you. And just a quick follow-up. What percentage does that mean as you think about agencies versus companies, your agency deal is just $50 million and that's it, so whatever growth you get from that is what your agency revenue is where everything else is directly to client?
Kurt C. Hall - Chairman, President & Chief Executive Officer: Well, that was true for last year, obviously. I don't know how that's going to play out this year. But yeah, the only agency deal that we had last year would be Omnicom one.
Eric O. Handler - MKM Partners LLC: Great. Thanks a lot, Kurt.
Kurt C. Hall - Chairman, President & Chief Executive Officer: Welcome.
Operator: Thank you. Our next question comes from the line of James Dix with Wedbush. Please proceed with your question.
James G. Dix - Wedbush Securities, Inc.: Good afternoon, guys. I guess, two questions. Just as the upfront is becoming a bigger part of your overall business, if you could just remind us what are your basic upfront cancellation polices and what have you seen in terms of any cancellation activity as you move forward through the year. I think it's just helpful for us to understand the degree of visibility you think that that those upfront commitments are giving you, especially as they scale? And then, my second one was just on any particular color you can give on the improvement in the scatter market in the second quarter, do you think there is – anything related to verticals or anything in terms of shifts? I'm just curious about that. Thanks.
Kurt C. Hall - Chairman, President & Chief Executive Officer: As far as the upfront stuff – excuse me, the Q2 stuff, we talked about in our comments the various client categories that were experiencing some strength in. And so, I think I'll just leave it at that and I think you can either look at your notes or we can go over that later with you which categories that was. So we're not seeing any specific category be stronger than the other. I think the only trend we're seeing is that there is a lot more openness across categories that we've never been able to talk to before in a rationale way than there has been in the past. So again, just I think given what's going on in TV and some of the other mediums that we compete against, I think we're just seeing a much more open dialogue than we have in the past. We're also benefiting I think as we go into the upfronts from the fact that our scatter pricing is meaningfully higher than our Q2 upfront and our full upfront pricing was. So that's obviously a good fact as you go into the upfront. The upfront cancellation policy, what we try to do is stick fairly close to the way the TV guys think about it. Earlier commitments are more firm than later commitments. I can't give you a statistic because it's all over the board depending on the client. So I'd rather not just generalize because, again, it does fluctuate by client, but we generally try to follow some of the rules that are implicit in the TV marketplace.
James G. Dix - Wedbush Securities, Inc.: But just so I understand, has your experience been the most that those upfront commitments have ended up turning into revenue even as that scale to become a bigger part of business?
Kurt C. Hall - Chairman, President & Chief Executive Officer: Yeah. So far I'm not aware of any full on cancellations. We've had some stuff move around from quarter to quarter, but we have not had any cancellations up to this point.
James G. Dix - Wedbush Securities, Inc.: Okay, great. Thank you.
Kurt C. Hall - Chairman, President & Chief Executive Officer: Yeah. @Welcome.
Operator: Thank you. Our next question comes from the line of Mike Hickey with The Benchmark Company. Please proceed with your question.
Michael Hickey - The Benchmark Co. LLC: Hey Kurt and David, hopefully you guys are good. Thanks for taking my questions. Just curious on your first half performance potential here. Obviously, Q1 is booked and Q2 looks really promising given your guidance. Do you feel, I guess, some of that presumed strength may be in part attributable to what appears to be meaningful disruption in Screenvision's business from your attempted acquisition? And then I have a follow-up.
Kurt C. Hall - Chairman, President & Chief Executive Officer: So I didn't actually understand what your question was there, Mike. Could you maybe be a little bit more correct (38:50)?
Michael Hickey - The Benchmark Co. LLC: Yeah, I understand that. Your first half performance seem to look very strong. I'm just curious if some of that strength that we've seen in Q1 and expect to see in Q2 is in part attributable to disruption in Screenvision's business from the attempted acquisition?
Kurt C. Hall - Chairman, President & Chief Executive Officer: I don't know really know about that. It's hard to say what the disruption factor is. They were still out there selling hard and so I can't really comment on that, Mike. It would be total speculation at this point.
Michael Hickey - The Benchmark Co. LLC: All right. Fair enough. And then I'm curious on the upfront sale, obviously, you had a lot of success and it's been a gradual win for you and your team over the years. But given the success in the upfront, do you think some of this will challenge your scatter selling? The idea I guess is there might be some shift in scatter money to the upfront. And I think you sort of surfaced that concern before and it is a concern perhaps that's why your fiscal year guidance seems somewhat conservative given the strength of your current business?
Kurt C. Hall - Chairman, President & Chief Executive Officer: Yeah, look, there is no question that a lot of our clients that historically booked in the scatter market booked upfront. And we've taken that into consideration and giving some of our guidance. I think clearly what you would view as our conservatism is just our point of view that we've got half a year left. This is pretty early in the year to start move in your guidance and we did give a little optimism within our current guidance range up to the upper end. So, I think at this point that's what we're comfortable with. I just think at this point it's best this early in the year for us to approach it this way.
Michael Hickey - The Benchmark Co. LLC: All right. Thanks, Kurt. Best of luck on the upfront guys.
Kurt C. Hall - Chairman, President & Chief Executive Officer: Yeah. Thank you very much.
Operator: Thank you. Our next question comes from the line of Jim Goss with Barrington Research. Please proceed with your question.
James Charles Goss - Barrington Research Associates, Inc.: All right. Thanks. I was wondering, did you say what the sellout ratio was last year and what you are hoping for incrementally this year in terms of upfront?
Kurt C. Hall - Chairman, President & Chief Executive Officer: Yeah, just, we're looking back through to get the exact language, I want to make sure.
David J. Oddo - SVP Finance, Co-Interim CFO and Principal Financial Officer: The upfront was low 70% (41:20).
Kurt C. Hall - Chairman, President & Chief Executive Officer: Yeah. The upfront last year I think was – we went into the year just over 70% and now we're up, I think we had said 84% or something like that – 85% of the year booked right now. So, obviously, we've made some progress since we talked before. I think Jim anywhere in that 70% to 80% range as you go into a year, is a good place to be for us. The cable networks are sort of in the mid 70s%, historically the broadcast networks have been over 80%. I think what we're seeing this year with our scatter pricing being so much higher than our upfront pricing that obviously may give us a hope to maybe be at the lower end of that range this year, and that may be a good thing for us because there may be some expansion revenue opportunities in the scatter market. Having said all that, there is no question that the upfront strategy for us has been a great success because it's allowed us to create a base of business that allows us to package, as I said before, higher demand flights with lower demand flights. And so, being able to sit down with a client at the beginning of the year and talk about the whole year is very beneficial for us, because it cuts down on our volatility, it allows us to look at what the marketing plans are of the client and match those with our available inventory and so, that discussion that is going on sort of as we speak and will go on throughout the summer, is a very good thing for our business. And I think it actually allows clients to be able to use our network more effectively than they have in the past.
James Charles Goss - Barrington Research Associates, Inc.: Okay. And I think it was very encouraging that you had basically 100% utilization in the first quarter. You are close to that in the second quarter. I assume you will be at least somewhat more conservative in pricing until you achieve that in the full year and then you'll feel you have the pricing power to go forward?
Kurt C. Hall - Chairman, President & Chief Executive Officer: Yeah. Jim, just to be clear and David mentioned it and I alluded to it, the 100% that we quoted in the first quarter is really about 73% based on all the available inventory we have. As you know, those percentages that we put out there, the 100% for instance in the first quarter, are based on a denominator in that calculation of eleven 30-second units. So, as David (43:59), we have more than fourteen 30-second units now and so, our total sellout would be, the way we talk about it would be 137%. So, we still have some work to do in the first quarter to sellout our inventory. Those numbers obviously will be higher in second and third and fourth quarter as they usually are.
James Charles Goss - Barrington Research Associates, Inc.: And do those figures include the movement from 2 minutes to 2.5 minutes in the (44:31)?
Kurt C. Hall - Chairman, President & Chief Executive Officer: Yeah. As you may recall, we always used to say that we're – about 127% would be full sellout which is...
James Charles Goss - Barrington Research Associates, Inc.: Right.
Kurt C. Hall - Chairman, President & Chief Executive Officer: ...basically just mathematically fourteen over eleven. Now the number if you do the calculation is about 136%. So, we only got back that 30-second unit in about half or so of our overall network. So, when you do all of the math, it comes out to about 136%.
James Charles Goss - Barrington Research Associates, Inc.: Okay. Last question. Are you finding, you may have talked a little about this earlier, but are advertisers buying specific titles rather than sort of weeks or whatever happens to come on the screen during those periods?
Kurt C. Hall - Chairman, President & Chief Executive Officer: Yeah. We won't let them buy specific titles. That's just not a good way to sell our inventory because you end up with too many tales that you can't sell. So, historically, we've always sold by film rating. So, there's four basic rating groups G, PG, PG-13 and R. What we're moving to now is more sort of film genre, which includes a fairly broad group of films that have a specific target whether it'd be younger females, older females, younger males, older males and so on. And we're also doing something I alluded to called dynamic pricing which we're starting to price our inventory not on a flight-by-flight basis based on demand, but more on a week-by-week basis. We've put in place some new technology and process that's allowing us to look much more carefully at the demand of the heat, if you will, on inventory in any given week. So, that allowed us to go out with proposals that are much more reflective of the actual demand for a given week. And obviously that does have some connection to individual films that may open in that week, but we won't allow them to buy just the impressions associated with a specific film.
James Charles Goss - Barrington Research Associates, Inc.: All right. Thanks very much.
Kurt C. Hall - Chairman, President & Chief Executive Officer: You're welcome. Thank you.
Operator: Thank you. Ladies and gentlemen, at this time I'd like to turn the call back to Mr. Kurt Hall for closing comments.
Kurt C. Hall - Chairman, President & Chief Executive Officer: Thanks, everyone and thanks for your patience. And I'd also like to thank all of our teams here at NCM. They've done a tremendous job of staying focused over the last year and I think the results of the fourth quarter, first quarter and our guidance for the second quarter I think reflect a great job with an awful lot of distractions out there. So I'm very proud of them and so I'd like to thank them as well. So, please let us know if you have any other follow-up from our comments today and we'll be talking to you on our next call. Thank you.